Richard Legault: Good morning, everyone and thank you for joining us this morning for our First Quarter Conference Call. Before we begin, I would like to remind you that a copy of our news release, investor supplement and letter to shareholders can be found on our website at brookfieldrenewable.com. I would also like to remind you that we may make forward-looking statements on this call. These statements are subject to known and unknown risks and our future results may differ materially. For more information, you are encouraged to review our regulatory filings available on SEDAR and EDGAR and on our website. Our continental platforms which we established last year are now fully in place, and we’re already seeing the benefits. As a result of our dedicated, experienced teams’ focus geographically, we are pursuing multiple acquisition opportunities on all three continents, and our structure provides us the flexibility to direct capital investments to the most lucrative risk-adjusted markets. In addition, we have strong organic growth prospects in each platform and our Development Teams give us tremendous confidence to pursue new projects at premium returns. As we have grown, we have always maintained a strong focus on having internal operating expertise to manage our people, assets, revenues, costs, and CapEx with a very long-term view to value creation. Our assets which are predominately hydro, benefit from high-cash margins throughout the cycle and we operate them recognizing that in the short-term, generation volumes are dependent on hydrology but over the long-term have a proven and stable generation profile. The unique nature of these assets combined with our conservative capital structure ensures that we can manage ongoing CapEx, fund our organic growth, service our distributions, and look to pursue new opportunities even in the midst of a low-generation year like we are currently having. This allows our management team to remain committed to focusing on long-term with the view of growing the cash flows on a per share basis and generating 12% to 15% total returns. With that I’ll hand the call over to Sachin to discuss our operations and growth initiatives.
Sachin Shah: Thanks, Richard, and good morning. Our operations performed very well in the first quarter with our teams preserving high reliability and availability metrics across both hydro and wind assets, globally. As Richard pointed out, hydrology this quarter was below our expectations. The most notable deviation was in Brazil, where a drought that started in 2014 continued throughout the quarter and in particular, through the rainy season. This has led to a generation shortfall in Brazil, in spite of the balancing pool that our assets have benefitted from for the last 12 years and which have provided a high degree of stability to the business during that time. Looking ahead to the balance of the year, if the drought continues, we estimate it could lower the FFO from our Brazil assets by a further $30 million versus the prior year, for the balance of the year. From a growth perspective, the current backdrop in Brazil and continued support for renewables in Europe are providing exceptional opportunities to deploy capital. In that regard, we closed on two meaningful acquisitions at the end of the quarter. In Brazil, we added almost 500 megawatts of hydro, wind, and biomass to our portfolio and now have the ability to look for growth opportunities in both wind and on a more selective basis, biomass, in a country that desperately needs both new supply and diversity. In Europe, we made our first investment on mainland Europe, in Portugal with the acquisition of a 120-megawatt portfolio of fully contracted wind assets, with redevelopment potential and some expansion opportunities. This acquisition leverages the operational and development teams that we acquired last year in Ireland, and whom have been integral in our success on the continent, to-date. From a development perspective, we are advancing on the 500 megawatts to 750 megawatts of pipeline that we intend to build-out over the next five years. Just last week, we signed three PPAs for almost 75 megawatts of greenfield hydro in Brazil, at over 200 reais per megawatt-hour in today’s dollars for 30 years growing at inflation. We have just started the construction on one of those facilities and will start the other two later this year, with full commissioning expected on all three between 2017 and 2018. In Ireland, we recently achieved full commissioning of two wind projects totaling 125 megawatts with another 12-megawatt facility on track to achieve commercial operation in the summer of 2015. Moving to pricing, we continue to be very encouraged in both North America and Brazil that prices are rising in an attempt to keep the markets in balance, and that the investments we have made in the last five years at cyclical lows, will drive cash flow growth in the future. In North America, wholesale markets in the Northeast traded at a substantial premium during this winter compared to pricing from a few years ago. Markets regularly settled energy at $80 to $100 per megawatt-hour this winter, as coal retirement continues, and more expensive generation meets peak demand. As a result, assets that we acquired just a few years ago are already exceeding our underwritten targets. In addition, markets such as New England and Quebec are actively pursuing long-term capacity procurement programs with a priority on non-carbon emitting assets. We believe that this is just the first sign that the market is tightening and we are well-positioned to capture premium energy and capacity pricing. In Brazil, scarcity of supply has been an issue for the last five years and only recently have we seen the impact of underinvestment. The current drought is highlighting the lack of alternatives in the market and as a result, prices are only now trending to what we believe is needed to drive investment in new supply. As I mentioned previously, we are actively signing new long-term contracts in this market for both existing assets and our development pipeline. Even though we have added optionality to our portfolio, it is important to note that our focus continues to remain on stability, and with that approximately 90% of our generation is still under long-term contracts. Finally, we often pull capital out of our assets through refinancings as an efficient way to surface value. However, in the current protracted low-rate environment, we are seeing an M&A market in North America that places a significant premium on contracted renewable operating assets. As a result, we have started on a very selective basis, to look for opportunities to surface value by selling assets where we believe we have maximized value and leveraged all of our operational capabilities. Given the scale of our business today and our active growth pipeline, we feel this could be a very accretive way to raise capital and invest for the future. With that, I’ll hand the call over to Nick for a review of our financial results.
Nick Goodman: Thank you, Sachin. First quarter generation was 5,823 gigawatt-hours, below the long-term average of 6,516 gigawatt-hours, and an increase of 112 gigawatt-hours as compared to the prior year. Hydroelectric generation of 4,776 gigawatt-hours was below the long-term average of 5,389 gigawatt-hours. In North America, higher inflows at our Canadian facilities were offset by the decrease in generation in the United States. Our hydro assets in Brazil generated 739 gigawatt-hours versus 1,099 gigawatt-hours in the prior year, due to the lower hydrology in the quarter as discussed by Sachin, and the prior year shifting of energy. Wind generation was 325 gigawatt-hours higher than Q1 of last year, the result of recently acquired or commissioned facilities in Ireland and Portugal, which performed consistent with their long-term averages and contributed generation of 451 gigawatt-hours. Overall, wind generation was 140 gigawatt-hours lower than the long-term average, with the variance due to lower wind conditions in our North American portfolio. Adjusted EBITDA for the first quarter was $338 million compared to $360 million last year and principally reflects lower generation, partially offset by the contribution from new assets. Funds from operations was $153 million as compared with $185 million last year. Our liquidity position and access to capital remains strong. During the quarter, we raised CDN$400 million through the issuance of 10-year notes with a rate of 3.75%, and completed an eight-year refinancing of a Canadian hydro facility at a coupon of 2.95%, which also surfaced CDN$20 million Canadian in incremental proceeds. Total liquidity at quarter-end stood at $1.3 billion. That concludes our formal remarks. Thank you for joining us this morning and we’d be pleased to take your questions at this time. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions]. Our first question is from Nelson Ng from RBC Capital Markets. Please go ahead.
Nelson Ng: Just a quick question on the Portuguese wind portfolio. So, you mentioned that the prices have been -- or the assets are contracted. Can you just give a bit more color in terms of the length or the duration; is it 15 years; and is it similar to Ireland where there’s a floor and where there’s upside?
Sachin Shah: So, the contract structure there is 15 years. These assets have been operational from anywhere from about three to seven years, depending on the unit in place. So, what we liked about it is you have the stable revenue profile for the balance of 15 years; after that, it is merchant. We obviously don’t really have a deeply bullish view of the merchant market there, just given the supply side and felt that we could acquire these at attractive values with strong downside protection. And then there is a rebuild option after that given our control of the site there. It’s not like Ireland where it’s a floor and you get the upside, it is just a fixed tariff.
Nelson Ng: And then, I was just wondering how that opportunity was sourced? Because I guess usually operating wind assets trade at a premium. So, I was just wondering what your -- how the opportunity was sourced and what your return expectations are for those assets?
Sachin Shah: So first, we have over 85 people in Europe today, principally in Ireland and the UK, and many of them dedicated to our outreach program and sourcing transactions. We’ve always done that on a proprietary basis in all of our markets and so Europe is no different. We also have a presence on the ground in Iberia that we -- through the group that we can leverage on. I’d say that region in particular, I think has seen tariff haircuts; Spain has seen that; Portugal has done that. And so it’s created a little bit of a void of a lot of significant capital investment, which is perfect for us because we can go in and attract the type of return that we look for. We look at low-teens returns in Europe today in the South of Europe, that’s a level we think we can achieve as long as there’s something that we can leverage operationally. What this portfolio provided was an operating history and a rebuild option in the back-end that many financial investors can’t really execute on because they don’t have the operating expertise to complete the rebuild and nor do they have the appetite to look at what pricing could be in the future. I think we can do those things given our development team. And so this was a portfolio where there was less competition and therefore we could achieve the type of returns we were looking for.
Nelson NG: And then just on the rebuild potential; is that effectively just replacing the turbine after the 15 years or is it just reusing the transmission lines and the kind of infrastructure in the ground already?
Sachin Shah: So, the infrastructure will last longer than the lifecycle of a turbine that we would intend to leverage and continue to use for whatever rebuild. In terms of the turbine itself, we would need to replace that; we would look to whatever technology was available at that time. We also think that at that time, the markets in Iberia will be more balanced versus where they are today in an over-supplied situation. So, the option value of that rebuild could be quite lucrative.
Nelson NG: So, just moving offer to Brazil, just in terms of the balancing pool participation, I just want to confirm, so the balancing pool is only effective if specific areas are below average and other areas are above average, like, so the entire country needs to be -- roughly needs to have average hydrology, right?
Sachin Shah: Not really, Nelson. No, I just wanted to make sure that it’s not really dependent on average hydrology. I think it’s more of a redistribution of reservoirs that the government controls to run in the river facilities that provide base-load generation. Over the last 12 years we’ve seen periods of low and high hydrology within a normal variance. And throughout all of those 12 years we really haven’t seen much of a haircut to the allocated energy level. So, I would say in all normal scenarios, the balancing pool works, it works quite well and there’s been significant time that’s passed to demonstrate how strong a feature it is in that marketplace. This is particularly unusual; we’re going through a drought; it’s protracted. And I think the government is recognizing that it needs to replenish its reservoirs and has haircut everybody equally and is doing so until such time that the hydrology situation improves. So, this is a little unique and I wouldn’t try to tie it to it needs average hydrology every year for the balancing pool to work. This is an aberration in the market.
Nelson NG: So, going forward for the rest of this year, would you expect there would be effectively no contribution from the government reservoirs until things go back to normal?
Sachin Shah: No, it’s not that. There is still a contribution occurring. Hydrology and water levels can be different in different parts of the country. What they’re doing is just reducing the allocated amount, i.e. the stabilized amount. They’re haircutting everybody. First quarter it was 17% haircut to everybody to just ensure that they’re not putting an obligation on their reservoirs that they can’t meet. And that was a particularly dry period. And what we’ve said and what I said in my prepared remarks was that if that level continues for the balance of the year, it could improve, but if it continued at that level, which we see as really the downside, then you’re looking at another $30 million reduction to our FFO, about $10 million per quarter. In light of the size of Brazil to our overall business, it’s not that material. But obviously, if things improve, we would expect that level to come up commensurately.
Nelson NG: Okay, so the $30 million of -- or $10 million per quarter reflects roughly a 17% reduction below LTA?
Sachin Shah: Yes, 17%t to 20% reduction below LTA.
Nelson NG: And one last question. You mentioned that you may look at selling assets to recycle capital. Are the North American wind assets a good candidate, or are you being more general in terms of where the potential asset sales could be?
Sachin Shah: I’d say they’re clearly a good candidate. North American valuations are very high and there’s lots of financial investors in this market who are paying premiums. I think that would be a really good candidate for us to look at absolutely.
Operator: The next question is from Sean Steuart from TD Securities. Please go ahead.
Sean Steuart: Couple questions, just following up on the potential North American wind asset sales, just trying to understand the scope you might be looking at and the timing. I think you have north of 900 megawatts of wind in North America. Are we thinking about a fraction of that? And how soon might you move on potential asset sales?
Sachin Shah: Look, we’ll be very selective. This isn’t something that we are rushing to do. I think we just recognize like if you look at BREP today, BREP trades at 12 times EBITDA multiples. It trades at a return that where we think we can generate sort of 12% to 15% returns. And contracted wind assets in the market today trade at single-digit returns, wherever you believe that market gravitates to. But in our view, we’ve seen a lot that trade at a pretty healthy multiple. So, from a value perspective, it just makes sense that we could redeploy that capital back into our core assets on the hydro side ultimately on an accretive basis without having to dilute shareholders. Are we going to be very aggressive here? Likely not, but obviously we’ve always been an opportunistic organization and if something particularly compelling came up, we’d move pretty quickly.
Sean Steuart: And on the Energisa deal, there’s a delayed closing for the 120-megawatt hydro asset. Can you give a little context on why there is the disconnect there and what’s the incremental capital going out the door in Q2 for that asset?
Sachin Shah: It’s just the remaining CPs. Each of the assets were held in different entities, and they all came with CPs to close. Normal course CPs, we don’t anticipate any issues. It should happen imminently. So that’s just on the delay. In terms of the remaining capital, on that asset, it’s about I’d call it $40 million, in that range. So, it’s pretty small.
Operator: [Operator Instructions]. The next question is from Paul Tan from Credit Suisse. Please go ahead.
Paul Tan: Question regarding with the Ontario joining the cap and trade market with Quebec and California, how do you see that program pan out and how do you see that affect your assets in the province?
Sachin Shah: Sure. So first, broadly on the program. I think it’s good. Any time jurisdictions start to recognize that carbon or non-producing assets have value and they recognize the value or the tax associated with carbon, that’s exactly in line with our long-term thesis. We’ve always bought these assets because we felt that in their own right, they generate lots of cash flow and have significant value. And we’ve never underwritten a potential premium for carbon taxes or a cap-and-trade program. But, it’s all moving in that direction. And Ontario joining Quebec and California, that’s a good sign for us. Setting aside that, our assets in Ontario are all long-term contracted. Our hydro and our wind is all contracted in the province. So, I don’t think we’ll have any immediate meaningful benefit that comes to light as a result of this but long-term, if you look at our hydros, these are assets that will be part of the supply stack of the province for the next 50 to 100 years. There will be benefits post those PPAs maturing that we think we can tap into.
Paul Tan: And the second question, similar to the other Brookfield group companies, where do you see the best risk-adjusted returns? Because there’s a lot of mention usually of let’s say LATAM and specifically Brazil with sort of the depreciation and whatnot. Do you see the same -- how do you sort of rank geography in terms of opportunities from a risk-adjusted return?
Sachin Shah: So, I’ll speak specifically to the three markets we’re in today or the three continents, Europe; North America; and Latin America. Clearly Latin America today and I would say not just Brazil, but all of what I call investment-grade countries in Latin America whether that’s Peru, Colombia, Chile, or Brazil. They’ve all been impacted by the commodity slowdown. They all have growing populations and strong growth prospects in front of them. Brazil has its own issues obviously with what’s going on with Petrobras and just the macro environment in that country. So, it probably has what I call the deepest value market today in terms of returns and lack of competition, which both go hand-in-hand often. So, clearly Brazil in our view would be a very, very deep value market today, one where infrastructure has always been critical to the equation of GDP growth and where we’re in the infrastructure business on the power side, and we think we can find assets like we did with the Energisa portfolio, that are highly accretive to BREP shareholders and that can be part of our portfolio for multiple decades to come. But the other countries, as I said, we’re looking at all of them as well, given just broadly what we’ve seen as sort of declining currencies in all those countries.
Operator: There are no more questions at this time. I will now hand the call back over to Mr. Legault for closing comments.